Operator: Thank you for standing by, ladies and gentlemen, and welcome to the Dynagas LNG Partners Conference Call on the Third Quarter 2019 Financial Results. We have with us Mr. Tony Lauritzen, Chief Executive Officer, and Mr. Michael Gregos, Chief Financial Officer of the company. At this time, all participants are in a listen-only mode. There will be a presentation followed by a question-and-answer session [Operator Instructions]. I must advise you that the conference is being recorded today. And at this time, I would like to read the Safe Harbor statement. This conference call and slide presentation of the webcast contains certain forward-looking statements within the meaning of the Safe Harbor provision of the Private Securities Litigation Reform Act of 1995. Investors are cautioned that such forward-looking statements involve risks and uncertainties which may affect Dynagas LNG Partners' business, prospects and results of operations. Such risks are more fully disclosed in Dynagas LNG Partners' filings with the Securities and Exchange Commission. I'll now pass the floor to Mr. Lauritzen. Please go ahead, sir.
Tony Lauritzen: Good morning, everyone, and thank you for joining us on our third quarter ended September 30, 2019 earnings conference call. I'm joined today by our CFO, Michael Gregos.  We have issued a press release announcing our results for the said period. Certain non-GAAP measures will be discussed for this call. We have provided a discussion of those measures as well as a discussion of why we believe this information should be useful in our press release. Moving on to slide 3 to review the quarter and subsequent highlights. Our underlying charter business remains healthy with our fleet of six LNG carriers, all contracted on charters to international gas producers with an estimated average remaining contract term of about 8.9 years. The operational performance of the fleet was good and reported utilization was 99%. The partnership reported a net loss of $4.7 million for the quarter after accounting for $7.5 million one-time non-cash write-off from the accelerated amortization of deferred fees due to the early prepayment of Term Loan B. Adjusted net income and adjusted EBITDA for the quarter were reported at $2.8 million and $23.8 million respectively and a distributable cash flow of $7 million. Short-term cash was reported at $317.6 million and available liquidity of $47.6 million each as of September 30, 2019, which the latter includes the $30 million revolving credit facility provided by our sponsor. On September 25, 2019, the partnership successfully closed and funded a syndicated five-year, $675 million senior secured term loan with leading international banks, which together with cash on hand was used to refinance all of the partnership's existing indebtedness under the Term Loan B and the unsecured notes.  The full amount of this credit facility was drawn 25 September, 2019 and the partnership's senior secured Term Loan B was repaid in full on the same day. And subsequent to the quarter, the $250 million aggregate principal amount of 6.25% unsecured notes was repaid in full on its maturity on October 30, 2019.  We paid in November a quarterly cash distribution of $0.5625 for Series A preferred units for the period from August 12, 2019 to November 11, 2019 and a quarterly cash distribution of $0.546875 for Series B preferred units for the period from August 22, 2019 to November 21, 2019.  As a result of the partnership's new financial profile with a significant increase in amortizing debt, we expect to reduce debt over time and further expect that the partnership will be better positioned for future growth initiatives as we expect global energy markets to continue to grow.  I will now turn the presentation over to Michael who will provide you with further comments to the financial results.
Michael Gregos: Thank you, Tony. Moving to the financial results on slide 4. As shown on slide 4, our revenue for the third quarter 2019 increased by $3 million to $34.3 million compared to $31.3 million for Q3 of 2018.  The increase was mainly due to the delivery of the Lena River under a 15-year contract to Yamal on July 1, following which this is the first calendar quarter that all of our LNG carriers have entered their long-term contracts. Adjusted EBITDA for the third quarter of 2019 was $23.8 million, in line with our previous estimate that, once all of our vessels enter their long-term contracts, our expected annual EBITDA would amount to about $95 million.  Average daily hire per vessel for the quarter was about $62,000 per day and we expect this to be our run rate gross cash time charter rate per vessel until Q3 2021, which is when the Arctic Aurora is expected to be re-delivered to us unless the charterer Equinor exercises the first of a two one-year optional periods. For the quarter, we experienced an increase in vessel daily operating expenses to $13,500 per day per vessel from $11,600 per day per vessel in Q3 2018, primarily because of higher scheduled maintenance expenses and higher crew wages for certain of our LNG carriers.  We also believe that operating expenses, which were abnormally low last year due to the fact that vessels had freshly passed their five-year mandatory special service and drydocks, will revert to the historical averages which were about $12,000 per day per vessel for the steam turbine vessels and around $13,000 per day for the Arctic Aurora.  The remaining two LNG carriers are contracted on an operating cost pass-through basis, meaning that charterers pay for actual operating expenses reasonably incurred.  With all of our vessels passed their drydocks in 2017 and 2018, we expect all of our vessels, barring our scheduled off-hire days, to be generating revenue on an uninterrupted basis until their next drydocks in 2022 and 2023.  Moving on to slide 5, we are extremely pleased with the closing of our $675 million senior secured term loan which, along with cash on hand, refinanced the remaining balance of the $470 million under our senior secured Term Loan B at the 33% reduced interest cost and our $250 million unsecured notes which were repaid on the maturity date of October 30.  Today, our total debt outstanding stands at $675 million, a reduction of $45 million compared to the prior quarter. We believe this global refinancing with an international syndicate of first-class commercial banks is a testament to the quality of our expected long-term cash flow and operational and occupational excellence.  Following this refinancing, we have increased our annual debt amortization to 7% of total debt outstanding from less than 1% of total debt prior to this refinancing. We believe this aggressive de-levering of the balance sheet is expected to create equity value to common unitholders over time and we expect that they will provide the partnership with greater financial flexibility.  To put things in perspective, on the extent of deleveraging, our debt will be amortizing by $48 million per year whereas our current equity market capitalization amounts to $74 million.  In addition, on a steady-state basis, we expect to reduce our financial leverage based on our current run rate EBITDA of $95 million from 7.1 times currently to 5.5 times in 2022 and assuming the partnership maintains the current run rate EBITDA through that period, and in particular when the Arctic Aurora is recontracted as early as 2021.  This refinancing is also expected to generate significant cash savings through our interest expense which we estimate indicatively from close to $50 million per year pre-refinancing to about $32 million per annum post-refinancing based on current LIBOR levels.  Moving to slide 6, I briefly discuss key balance sheet data as of September 30. Long-term debt was $925 million, including the $250 million unsecured notes which were repaid in full on October 30.  We had total cash of $317 million, out of which $250 million was utilized to repay in full the partnership's unsecured notes after maturity on October 30 and $50 million was restricted cash pursuant to the terms and conditions of the new $675 million term loan.  Our net debt to book capitalization is 51%. Moreover, we have no debt maturities until the third quarter of 2024.  To conclude, even though we usually do not comment on our valuation, we do find it noteworthy to mention that, according to current consensus estimates for 2020, it appears we are trading at about 4 times forward earnings.  That wraps it up from my side. I will pass the presentation over to Tony.
Tony Lauritzen: Thank you, Michael. Let's move on to slide 7. Our fleet currently counts six LNG carriers with an average age of about 9.3 years. We have a diversified customer base with substantial energy companies, namely Equinor, Gazprom and Yamal LNG, which the latter is an international joint venture between Total, CNPC, Novatek and the Silk Road Fund. Our contracted backlog is about $1.29 billion, equivalent to an average backlog of about $250 million per vessel. And our average remaining charter period is about 8.9 years, which compares very well versus our peers.  Moving on to slide 8. With Lena River delivered into her multiyear charter on 1 July, 2019 with Yamal LNG, each of our six LNG carriers are now fully delivered and operating under their respective term charters. Our fleet of LNG carriers are fixed on time charters with key energy companies. We believe the drivers for our charters were the characteristics of the fleet, including its ice class notations and our organization's and operational performance track record.  All of the vessels are employed on time charter contracts, under which the charterer pays all major voyage-related variable costs, such as fuel, canal fees and terminal costs. Our counterparties are mainly active, strong LNG producers and are typically able to fully program the vessels for period of times which gives us a certain degree of planning ability and cost control.  We estimate our fleet to be 100% contracted in 2019, 100% in 2020 and 92% in 2021. Our earliest potential availability is the Arctic Aurora which will be available in 2021, provided that Equinor does not exercise their option to extend the contract. So far, the vessel has served Equinor with good feedback and results. The next available vessel after the Arctic Aurora may be the Clean Energy which contracts expire in 2026. Let's move on to slide 9. We have a unique and versatile fleet. Five out of the six vessels in our fleet are assigned with ice class 1A notation. Therefore, the fleet can handle conventional LNG shipping as well as operating ice bound and sub-zero areas.  The initial capital expenditure for an ice class vessel is more expensive than conventional carriers. However, we estimate the operating costs between our ice class type carriers and conventional carriers to be similar.  To our knowledge, the company, together with our sponsor, has a market share of about 82% for vessels with ice class 1A or equivalent ice class notation. To our knowledge, there are only two other LNG carriers in the world with the equivalent notation, which are chartered out in the long-term.  We view the ability to trade in ice-bound areas as an important advantage due to the increased production of LNG in such areas and, in particular, along the northern sea routes. To our knowledge, Yamal LNG is producing at close to full capacity at their mega project and we also expect further projects to be developed in that region, such as Arctic LNG 2. In general, we view the ability to perform conventional and niche operations as an important driver in securing attractive long-term charters.  Furthermore, our fleet is optimized for terminal compatibility, which we believe is of value to our charterers, and the fleet consists of groups of sister vessels that provides for overall better economics, operations, preventive maintenance and redundancy.  Let's move to slide 10. We are a premier LNG shipping company, renowned as a reliable service provider able to operate in extremely harsh environments. Our fleet is relatively young compared with the world average and provides for trading versatility.  The new financial profile of the company is simple and provides us with a competitive cost of debt with a clear path towards gradual deleveraging through significant annual debt amortization.  The partnership has in place a long-term charter contract with international energy companies, generating cash flows that we expect to be channeled towards the amortization requirements of the financing facility, which we believe will result into the equity value over time and beyond which position the company for future growth.  We have now reached the end of the presentation and I now open the floor for questions.
Operator: [Operator Instructions]. We will now take our first question from Randy Giveans. Please go ahead.
Christopher Robertson: Hi, guys. This is Chris Robertson on for Randy. Thanks for taking our call.
Tony Lauritzen: Hi.
Christopher Robertson: Once again, congratulations on the refinancing. I know that was a big deal that you guys were working hard towards for a while. Now that the term loan and the notes have been repaid and kind of the fleets locked in on employment at least through 2021, what's next besides the repayment of the current borrowings? Can you pursue some additional drop downs under the terms of the new debt covenants?
Tony Lauritzen: Yeah, hi. Listen, at this particular stage, we're going to use our secured cash flow, pay down our debt, our capital structure will improve, and eventually we believe these reductions will lead to an improvement in our unit price. As I mentioned earlier, we are trading at basically four times the consensus estimates for our 2020 earnings. We are deleveraging. Deleveraging is a big part of the story. It's very important. At this particular stage, we do have the sponsor's fleet. It is rare. But we are mindful of the employment and the leverage characteristics of these vessels. So, we would prefer to wait a little while as these vessels deleverage. So, if there's any drop-downs take place, it will actually reduce our leverage rather than increase it.
Christopher Robertson: Okay. That makes sense. Kind of along the same lines, are there any allowances for the repurchase of preferred equity? Is that something that you would consider or should we just think about this, like you said, as a deleveraging story?
A - Tony Lauritzen: Right now, we don't have the capital to repurchase the preferred equity. It would be nice to have it, but we don't. So, we have to be realistic on what can be done or what cannot be done. So, at this particular stage, this is not on the cards.
Christopher Robertson: Okay. And then, maybe a couple of modeling questions from us. So, in terms of the vessel OpEx expense, I know that you had mentioned some maintenance costs were little bit higher compared to last year. As we look towards next quarter, should we expect 3Q to be kind of the norm in terms of a run rate or is it going to be lower in 4Q?
Tony Lauritzen: Yeah. I think what we were saying is that last year's expenses were abnormally low because we had just passed the drydocks and there was not that much to be done from a maintenance perspective. I think [indiscernible] you look at our historical operating expenses, I think we will revert to that historical average which is $12,000 per day about the three steam turbine vessels and for the Arctic Aurora around $13,000. Now, the other two vessels, it's the charterer that pays for the operating expenses reasonably incurred. So, those are less of an issue there.
Christopher Robertson: Okay. And one last kind of modeling question. How should we think about the new weighted average interest rate going forward and can you provide any interest expense guidance for 4Q?
Tony Lauritzen: Yeah. The margin on the low end is 3% and LIBOR is currently around 1.9%. So, the all-in cost should be around 4.9%.
Christopher Robertson: Okay. I think that does it for us.
Tony Lauritzen: Thank you.
Christopher Robertson: Thank you.
Operator: Thank you. There are no more questions at the moment. [Operator Instructions]. There are no questions that have come through. So, I'd like to hand the floor back to your speaker, Mr. Lauritzen.
Tony Lauritzen: Well, thank you for your time and listening in on our earnings call. We look forward to speaking with you again on our next call. Thank you very much.
Operator: Thank you. That does conclude our conference for today. Thank you for participating. You may now disconnect.